Solange Barthe Dennin: Good morning. On behalf of Telecom Argentina, I would like to thank everybody for participating on this conference call. The participants on today's conference call are Roberto Nobile, Chief Executive Officer Gabriel Blasi, Chief Financial Officer; Fernando José Balmaceda, Director of Investor Relations and myself, Solange Barthe Dennin, General Manager of Investor Relations. The purpose of this call is to share with you the results of our second quarter ending June 30, 2020. If you have not received our press release or presentation, you can call our investor relations office to request the documents or download them from investor relations section of our website located at www.telecomcom.com.ar. This conference call and presentation is being broadcasted and can also be replayed through our investor website at institutional.telecom.com.ar/investors. I would like to go over some safe harbour information and other details of the call. We would like to clarify that during the conference call and Q&A session, the conventional [ph] set of certain forward-looking statements about Telecom's future performance, plans, strategies and targets. Such statements are subject to uncertainties that could cause Telecom's actual results and operations to differ materially. Such uncertainties include, but are not limited to, the effect of on-going industry and economic regulation, possible changes in the demand for Telecom's products and services, the effects of potential changes in general market and/or economic conditions, in legislation and the impact of the outbreak of COVID-19 on the general economy and specifically on economies of the countries in which we operate as well as on our operations and financial performance. Our press release dated August 14, 2020, a copy of which was included in the Form 6-K and the SEC, describes certain factors that may affect any forward-looking statements that could be mentioned during the call. The company has reflected the effects of inflation adjustment adopted by Resolution 777 from 2018 of the Comisión Nacional de Valores, the CNV, which establishes that the expression will be applied to the annual financial statements, for intermediate and special periods ended as of and included December 31, 2018. Accordingly, the reported figures corresponding to the first quarter including the effect of the adoption of inflationary accounting in accordance with IAS 29. In this presentation, we will also include figures of historical values which are easier to understand. Our press release is complemented by our earnings presentation. The audience should read the disclaimer contained in slide 1 and 2 of the presentation. The agenda for today's conference call is described on Slide 3, and includes our business and financial highlights. We will end the call with a Q&A session. Now let me pass the call to Gabriel Blasi, our CFO, who will start with the presentation.
Gabriel Blasi: Thank you, Solange. Good morning and welcome to everyone. Slide 4 shows the outlook of the company figures for the second quarter 2020. During the first half of 2020, Telecom’s revenue totaled P$1.8 billion. The revenues measure in constant pesos decreased 3% year-to-year. EBITDA totaled P$679 million, -- 35.5% EBITDA margin growing in constant pesos 5.3% year-over-year. Our mobile subscribers in Argentina amounted to 18.8 million remaining relatively stable when comparing with the previous quarters. Broadband failed to [Indiscernible] increasing slightly, totaling around 4.1 million and 6.5 million respectively. Fixed voice subscribers without considering IP telephone lines, amounting to 3 million, such though [ph] successful commercial strategies focus on the bundling and upselling of our products, we currently have 1.8 million convergent unique customers with 43% of our broadband customers having a mobile... We continue with slide five, presenting our new IP transformation projects. During June, with our digital code as part of our package transformation for our products, this has enabled us operate under a unified, convergent and efficient system of processes for the back office. With the implementation of SAP S/4 for HANA and AREVA, we have accomplished this objective in our operating model. Based on best market practices, it allows us to work in a simpler and more collaborative and transparent way. More than 6000 employees were training through 150 portal [ph] where we have more than 50 -- internal courses. Regarding our main BSS transformation project “FAN” we have been able to complete the third and fourth migrations of mobile customers adding 2.5 million prepaid and postpaid clients during May and August, respectively. Currently, a total of 2.8 million customers can enjoy this new digital experience supported by 2.5 thousand commercial advisors. We are also planning to win 2020 with all of our mobile customers migrating over new CRM and to have our quarterly MVP ready by October. Slide 6 shows you the evolution of our service revenues. Service revenues totaled almost P$124.7 billion decreasing 1.4% in real terms versus the same period in 2019, in a period when inflation reached 42.8% year-over-year. The share of communication services in the National CPI is approximately be 2.8%. Our revenue breakdown as of June 2020, shows an increase in lower revenue share and a lower share of paid TV revenues when compared with the previous quarter. The breakdown results as follows; Mobile revenue 38%, growth and revenue 22%, paid TV revenues 20%, fixed telephone and data 15%, equipment sales 5%. Our main drivers of growth are explained on slide 7. We have been able to continue reducing the gap between inflation and real ARPU figures which currencies are around 1% below inflation, while being able to keep steady of our customer base. Postpaid mobile, broadband and our IP video platform called, Flow are the main pillars of our business. In the first half of 2020, postpaid subscribers accounted for 41% of our total customer base. The Company has registered positive subscribers influence in the first six months of the year, reflecting our efforts to optimize the quality and capacity of our mobile network. As mentioned before, the growth in the segment as is mainly supported by our converted offers to cable TV and internet subscribers that were not mobile clients of the company before, showing a net result of 27,000 customers coming from our competition in the first half of the year. Mobile internet usage has also increased, reaching an average of more than 3.9 gigabytes per user per month, the first in semi-annual period 2020. In addition, there has been a important growth in broadband speed considering that 55% of our total subscribers had speed between 50 and 200 megabytes compared to 80% by the end of last year. Our product flow has delivered solid results. We have almost 1.1 million Flow boxes inside homes that's advancing toward the objective of network digitalization. We keep on increasing the speed and capacity of our broadband customer base, leveraging on our strong HFC network and responding to the higher usage of fixed networks generated by COVID-19. In slide 8, in the regulatory decisions taken by the ENACOM and the Argentine Central Bank. In May, due to the COVID-19 our industry has agreed jointly with ENACOM to free studies of our furloughs until the end of August 2020, concurrently, although they were not required to increase salaries until August 2020. Both inclusive plans and review services are being provided to clients. In the case of the reduced services, they are only provided to clients who have not paid their service on time. It's worth mentioning that in March 2020, the executive power issued a decree which determined the temporary suspensions of interruption of fixed and mobile telephone internet and cable TV services. Among others, in the case of non-payment of three bills by a separate group of clients until the end of September 2020. This was then extended to six bills until December 2020. As of June 2020, clients with reduced services represent less than 2% of the company's subscriber space, since the Flow have very limited capacity as of June, we are recovering such clients at a rate higher than 60%. On May 28, 2020 the Argentine Central Bank decided the Company's which have liquid assets abroad must first use their funds to pay their dollars commercial as I mentioned it, thus not allowing the local companies to access the FX market, official FX rate unless they can prove that they do not have any limited funds outside Argentina. Due to the above the company decided to initiate the refinancing of his financial day, which will be explained later in this presentation. I will now pass the call to Fernando José Balmaceda who will go over our financial performance.
Fernando José Balmaceda: Thank you so much Gabriel. On slide 9, we show the evolution of total inflation. As of June 2020, the year-over-year increase inflation has been 42.8%. While during the second quarter of the year it has been 5.4%. Regulated prices have increased 55.2% year-over-year and remaining flat during the second half of 2020, thus generating an increase in journey [ph] inflation index. The breakdown that we're including shows that the most important way in the index comes from food and beverage, transport and clothing among other items, while the share of communication service in the CPI amounts to a very low percentage, which is 2.8%. Going to slide 10 for the first half of 2020, consolidated revenues on nominal terms grew by 43%, reaching almost P$125 billion. When analyzing set figure, adjusted by inflation revenues amounted to more than P$131 billion, showing a decrease of 3% in real terms. The Company has been trying to offset inflation impact on its revenues and costs. Service revenues showed a 45% nominal increase while mortgage revenues grew more than 8% in real terms when comparing the first half 2020 with the first half of 2019. In the case of paid TV, revenues related to local soccer league programming have not been generated, considering that activity has been suspended. EBITDA increased by 54% year-over-year in nominal terms, thus generating an EBITDA margin of 34% -- 37%. EBITDA margin in real terms was 36.5%. The company performed well in terms of cost controls. Operating costs before D&A decreased to almost 7% in real terms versus the first half of 2019. The Company performed an effective cost management and almost all cost lines experienced a decrease in real terms with the exception of interconnection and distribution costs, which increased mainly due to the rise in FX rates, and bad debt expenses that were higher as a consequence of the general economic situation. In slide 11, we show the company's EBITDA and the impact of the different components of revenues and costs. It was a positive evolution of handset costs will decrease 34% in real terms, mainly by a lower number of sales. Operating costs was 7% lower in real terms. Operative efficiencies were obtained both in programming and content -- content costs. There were no cost related to the local soccer league because it has been suspended. Administration costs also registered a good performance, decreasing 9% in real terms, and affiliation expenses remained stable mainly as bad debt expenses included the -- increase above inflation impacted by the deterioration of the general economic contends. Final result was a 290 bips increasing EBITDA in real terms, when compared with the first half of 2018. In slide 12, show the evolution of our collections and non-performing debts. Collections with digital channels have increased to 65% of total collections from the 50% of surge at the beginning of the year. Additionally, the gap of real collections versus a forecast has decreased substantially. At the beginning of the COVID-19 lockdown, the level was almost 30% added. Currently our collections are at a normal level and very unhappy, possibly influenced by extraordinary collections in our B2B business. In our second to 2020, non-performing debt in retail business increased mainly due to the effect of the COVID-19 lockdown from 2.4% to 2.7%. Since June, Citron [ph] is moving to more normal levels and has been benefited by the recovery rate of our reduced service clients. In slide 13, we can see the company's operating income totaled almost P$14.5 billion. The EBIT increase in costs and measuring is explained by a lower increase in D&A and this poses an impairment of fixed assets, vis-à-vis the increase in EBITDA 4% in real terms year-over-year. Operating margins reached 11% of consolidated revenues, while in historical fields; the same margin has increased to 24% from 20% in the first half of 2019. Net income in the first half of 2020 decreased more than P$7.6 billion, mainly reflecting FX losses due to the net depreciation of a peso and higher interest expense expenses in FX results. Slide 14, there's a summary of the company's investments in the first half of the year. Telecom has investment -- invested almost P$34.4 billion, including rights of use of assets, bringing this amount of 34% lower when compared to the same last year's period. Such decreasing CapEx is mainly explained by a spread lease [ph] to protect the company's cash position. Technical CapEx were mainly composed of installation, installations and customer premise equipment or CPE. The balance was located in network and technology and to our international operations both in Paraguay and Uruguay. During the second quarter of 2020, more than 39 more sites were deployed. Moreover, we continue to increase the capacity of our HFC network mainly through segmentation of areas focusing particularly in the AMBA region, newer to respond to our customer’s high broadband usage due to the pandemic. 2.47 FTTH and 2.371 gigahertz HFC blocks were enabled. Additionally, we completed the first phase of our cloud foundation initiative by uploading a set of business applications to the Amazon public cloud. In slide 15, we'll describe our customer generation when comparing the first half of 2020 with the first half of 2019. During the first half 2020, the break-even free cash flow amounted to approximately US$361 million. The increase in EBITDA and the reduction in CapEx mainly explained the additional US$79 million in free cash flow when compared to the first half of 2019. Turning to slide 16, we show our key figures for last four months as of June 2020 in constant measuring unit. Company's revenues amounted to more than P$265 billion while the EBITDA amounted to almost P$90 billion. EBITDA margin was 34%. Our gross debt amounted to P$183 billion as of June 30, 2020. The Company has been able to generate an important amount of cash equivalents having a net debt of P$131 billion, reducing our net debt in real peso terms when compared with 31, December 2019. Our net debt to EBITDA ratio was at 1.46 times. Slide 17 shows the breakdown of our financial debt. Total outstanding debt as of June 30 2020, amounted to almost US$2.6 billion. As mentioned the Argentine Central Bank has not allowed companies to assess the FX market at the official FX rate for commercial finance or debt payments in foreign currency, currency unless they can prove that they do not have any liquid funds outside of Argentina. This was the main reason why the company decided to initiate a liability management study that will cover in the following slide. Slide 18 summarizes the latest financial transactions the company has done. On August 3, 2020 Telecom concluded an exchange offer of the standing 6.5% notes due in 2021. Holders validly tendered US$ 362.2 million of notes, due 2021. The acceptance rate was 77.74% high enough to demonstrate our solid grade profile and structure of the exchange offer. Additional amount of US$135.4 million of notes due in 2025 which we consider to be new money was raised to repay our loan with Deutsche Bank, London Branch and CPPIB Credit Investments, Inc. In summary, the Company issued US$388.9 million of new amortizing notes due 2025 with an 8.5 semi-annual coupon. Due to the above, the company has considerably optimized its capital structure. Our next step will be to extend them what he says is our multilateral loans and we have already started with this process. In slide 19, we show our pro forma maturity profile as of June 2020 after the exchange we just mentioned. Our maturities in US dollars are in the range of US$100 to US$500 million between 2021 and 2022, and are reduced until the maturity of 2026 notes. Having concluded with the presentation and before going to Q&A session, let me pass the presentation to Roberto Nobile, our CEO.
Roberto Nobile: Hi, everyone. Just to finish the presentation and opening to questions. We just would like to highlight that the COVID pandemia has been like a catalyst for the company in its digital transformation path. Not only because we were able to sustain and hold the operation and the business, but also grow significantly in terms of engagement. If we take a look at Flow, our IP video platform, we reached 9.5 hours of average user per customer. And that's an amazing number considering the volume of transactions that are been passing through our platform. We hit 126 million views. We grew 30% in terms of users on the OTT platform. We grew 66% in terms of hours in VOD on our app, on our OTT platform too. And more than 31% growth of hours in VOD, in our box or setup box video platform also. We have also been able to keep our transformation project on schedule. As Gabriel was mentioning, we were able to keep running our SAP project. And we have -- today we have all the ledger in one ERP is SAP S/4 HANA, we were able to migrate more than 2.8 million customers -- mobile customers into the new salesforce platform. And that's a great achievement. And we keep on rolling migration waves throughout the year. We have given the company also a better outlook for 2021and -- 2020 and 2021. Their maturity reducing significantly that they're maturing next year. We have managed cash flow in a very conservative way to deal with a difficult business context to ensure the company [Technical difficulty].
Solange Barthe Dennin: Hello, everyone. We will just continue with Q&A session. Before going to the Q&A session, please, we would like to remind you that we can address your question to the g Q&A session, which we'll open immediately. Please send a message to IR Telecom, Argentina to the Q&A menu, identifying yourself and stating that you have a question or alternative, use the hand button to let us know that you want to formulate a question. We will let you know when it's your turn to speak and we will unmute you so you can proceed with your question. Thank you very much.
Q -Unidentified Analyst: So, the first question we have is from Andre Baggio [ph]. Hi. In this regard to debt denominated in dollars, are you using the official FX to convert it into Argentine pesos? Can you remind us how many dollars you can actually buy at official FX? Or what is the average FX at which you can buy dollars?
Roberto Nobile: Great. Thank you for a question. Well, on the accounting for the company of all the dollarized assets are accounting using the official foreign exchange rate unless those specific assets might have market price. This is for instance, if a company buys any security, you use the market price of the security or the rest of the dollar assets are accounted at the official foreign exchange rate. Regarding the amount of dollar that the company may get from the local FX market from their move as we call here, theoretically is a limited in terms as far as you comply with the regulations pertaining what type of payment are you willing to make, you go to the market and the market provides mostly with the authorization of Banco Central. The restrictions are based in what type of conditions the payment must meet to be able to be channeled through this market. For instance, all the financial payments required that the debt should be register prior with Banco Central. All the commercial payments have to meet certain technical relationship between the goods [ph]. For instance, just to explain this in brief. We can go with this more detail in a separate call if you wish. All the goods have been -- you cannot anticipate a significant amount of input. But as far as you comply with the obligations, there is no problem in accessing the foreign exchange market.
Unidentified Analyst: Okay. Now, we have the following question from Pedro Sodus [ph] was on incremental CapEx, the company had canceled in May. Does the company plan to restore the extra CapEx? How that's unfolding?
Gabriel Blasi: Yes. Well, definitely the conditions that made us took that decisions that were related to the general situation. Really it was very difficult to precise in much this year would be -- what was going to be for the company, the outcome of the pandemia plus all the uncertainty that was derived from the Argentinean negotiation of the day. With a much clearer situation regarding both seizures [ph], Argentina has already reached an agreement on the sovereign debt. And on the other hand, we have a clear picture of how the evolution of the company is behaving with the quarantine process. We decided to retake the original amount of CapEx. And also we are considering some additional amounts regarding some aspects that are related to the new normality, let's call it that way, that might require a different type of attention. At the end, we're seeing that our CapEx will be over $550 million for sure. And very likely over $600 million. All these of course, calculated, as I mentioned, to the foreign exchange rate, which is the one that we effectively account and effectively pay.
Solange Barthe Dennin: Now we have [Indiscernible]. You can go ahead with your question.
Unidentified Analyst: Thank you. Hi, everyone. Thank you for taking my question. I would like to ask about the status of the price update in your different segments. So the price freeze [ph] expires by the end of the month in Argentina. So how are negotiations evolving with the ENACOM?
Gabriel Blasi: Thank you for the question. We have really communicated to our customers a price increase that in average is around 10.5%. That's going to be from September 1st on and that's -- we have already communicated to our customers with one month in advance, because the local law requires us to do that. We have the negotiation with ENACOM that was between the March and August 30 [ph]. That was the timeframe where we have agreed upon freezing, let's say that way, the prices. But we are able to increase them from September 1st.
Unidentified Analyst: Now, now we have the following question from [Indiscernible]. Do you have a specific leverage target of the short, medium term? Any additional initiative you may be working on in order to tackle the upcoming maturities?
Gabriel Blasi: Okay. Thank you for the question. Yes, definitely. The company, remember, has a long term target in terms of relationship, debt-to-EBITDA around two times. We are -- as Fernando explained, we are below that for the time being. We do not think that its going to be a very significant change in that equation. Regarding the next steps to keep up with the maturities, we have already in finance more than $600 million of the maturities, especially next year. And as you saw from the presentation, we have already started negotiations with most of our banking creditors, meaning that, I will say, at this stage, we have reached an informal commercial agreement with our bank. And we still have additional conversations with multilateral agencies to bring on the same package and restructured the rest of the maturities. Having said that, that will mean, that for the next two-year the company will have reduce the total amount of maturities in half and that is considering the remains of the 2021, note, that we change recently. So, really the situation in terms of a cash flow for the company or requirement of financial dollars for the company has changed significantly and also that implies a significant advantage for local PCR rate too.
Unidentified Analyst: The following question we received is from Santiago Petrie [ph] from [Indiscernible]. Who says, hello, thanks for the presentation. Could you please repeat the explanation or the difference in the operating margin between historical 24% and inflation 11% adjusted figures in chart 13?
Gabriel Blasi: What does it mean is that the difference between the two is the FX or the inflation adjusted. A historical value, meaning, with no consideration on inflation has grew of 71%. When you calculate the same amount of operating income related to inflation figures, you have costs that are related to a different base and your income is not necessarily adjusted completely by inflation or by price adjustment that there is in this case. The reality here is can the company during this process went into a very successful I would say cost control. All the situations are becoming digital, as Robert has mentioned. It has -- and having a very significant part of our population working from home. Mean that, for instance, we have five corporate buildings of three of them completely closed and also additional cost savings which are relevant have been taking place as Fernando explained regarding the football [ph]. Also you have a reduction in the sale of devices, which concurrently implies less cost too. So there are several lines of costs that were very successfully managed. And as a result of that the EBITDA margin grew significantly and operating income also has a good behavior on these? Also remember that 10% of our revenues, which are related to the corporate business, are adjusted by Núcleo.
Unidentified Analyst: The following question we have is from John [Indiscernible]. What it says, how much of the cost cuts are one time in nature? Handset sales programming costs, how sustainable is the margin expansion you experienced in second quarter?
Roberto Nobile: Well, part of this is difficult to answer, because it's more related, for instance, to the evolution of foreign exchange rate and some other. And the ability of many suppliers to pass on inflation to us in terms that I will say that, in terms of the improvement of margin that we already have, we think that both at the accounting level, but on the MIS information, we grew about six points of EBITDA margin, which we think that at least three of them will be reduced when the quarantine process reopen. But I think this is my personal opinion. It is yet difficult to say that probably one or two points are going to be there and our intention is to do so. We are really doing a very intensive cost control and learning for the cost reductions that we achieved in this process to keep most of them after this situation changes.
Unidentified Analyst: The following question we have is from [Indiscernible] from Morgan Stanley. Hi. I would like to hear your thoughts on competition on the fixed business? Seems that some of your competitors have delivered slower growth rates in Pay TV and Broadband?
Roberto Nobile: Thank you for the question. On Pay TV, we -- our market share remains the same. So we don't see any -- even though there are competitors working on the video side, we are performing very, very well. And that's not a problem so far. On the Broadband side, we have very strong competition today, that is heating on. We have a really mentioned that in previous talks. We have an HFC Network. That's a Hybrid Coax and Fiber Network where we have HFC Broadband customers. And we have the old copper network where we have xDSL customers. We are losing and probably we have shown the figures. We are losing customers on the xDSL network, because of their stronger competition with a better product. And we are retaining our market share on our HFC Networks. So as long as we are able to upgrade our copper networks into a FTTH networks, that's part of our CapEx plan for the future. We will be able to increase our market share on those areas. But as long as we don't keep on with a FTTH deployment, that's not possible. So anyone that interrupts in an area with copper network only, it's difficult to compete. So that's probably the way. Most of our customers are on HFC. And on HFC we are growing. And for example, in the last month, we are growing more on HFC that what we are losing on the copper areas.
Unidentified Analyst: Thank you. The following question is from [Indiscernible]. What it say, is the U.S. dollar amount that a company can get on any day from the Central Bank Limited even if it is needed for interest payment or debt amortization?
Gabriel Blasi: No, it isn't. What we are doing, but I will say as a senate [ph] issue, not as a requirement, we will not expect to the last day and we'd like to make our acquisitions in two, three times to create the minor noise that we can on the market.
Unidentified Analyst: Thank you, again. The following question from [Indiscernible]. Is it possible to -- what he says, it is possible to breakdown how much the OpEx savings that you have had are related to frozen salary and software commercial activity? And how much of the OpEx savings could be perceived as sustainable?
Gabriel Blasi: Just to add on the salary line, our salaries increase -- were increased more than -- between 40.5% and 42.5% on the period July, June -- July, 2019, June/July 2020. And 70% of our staff belongs to a union. And we have agreed with the unions, the salary increase and we completed the negotiations. And that was between 40% and 42%, depending on the union. So we have not had any salary freezing during these last year. And we are -- our approach is to move our salaries at the same rate as we increase our prices. That's the approach and that's the negotiation we are running today with the unions together with ENACOM.
Unidentified Analyst: Thank you. The following question is from [Indiscernible]. He says, can you please discuss operations in Paraguay. Mobile customers are down 5% in the quarter. How is the situation evolving both in terms of the pandemic and competitive dynamic?
Gabriel Blasi: It is true, Paraguay strike by the pandemia also. We have been hit by the pandemia. Most of our customers our prepaid and prepaid customers, as well as in Argentina are not recharging as they often do. So, that's one of the temporary reasons why customers are down. But on the other side, we were able to deploy 16,000 square blocks of FTTH in Paraguay, especially in [Indiscernible]. And we have hit 100,000 -- more than 100,000 new customers on Broadband on FTTH services. And that's a great job we're doing. We're achieving probably around between 25% and 30% of market share coming from zero. So we are doing a very good job. And we're going to keep doing that.
Unidentified Analyst: Thank you. Following question we received from [Indiscernible]. He says, hi, and like to ask if you could provide a breakdown by currency of cash and equivalents? And how much is held in sales [ph] banking accounts?
Gabriel Blasi: Hi. Thank you for the question. Well, as we explained regarding the EU regulation. The company has in dollars about $40 billion, which are held now in Argentina. We brought that money within the country to comply with Banco Central regulation and not other currency is held abroad. As part of the refinancing process that we are currently developing, we have established a structure that has no relationship with a company, while that has paid the cash consideration for the exchange of the bonds. And we'll also a use the funds required for completing the refinancing of our banking debt, meaning that, no additional funds are going to be required from that part. On top of that, we have about 300 million equivalent dollars in pesos in Argentina, which are split between 200 in dollar -- in pesos specifically and an equivalent of $100 million held in dollarized [ph] securities. But all of that is a held within the boundaries of the country. So what the company did was under this new regulation of Banco Central was use all the funds available to strengthen its balance sheet changing the maturity profile with its creditor. And now we have plenty of cash to operate the company within the boundaries of Argentina.
Solange Barthe Dennin: Thank you. Now we have a request from [Indiscernible]. You can go ahead with your question.
Unidentified Analyst: [Indiscernible]. Congratulations on the debt deal. The communication was a little bit tricky. Maybe you answer this. But could you could you talk a little bit about the tariff increases by segment? And how are customers behaving if you're having some push backs to increase tariffs or if customers are looking for upgrades. And then, if you have a CapEx guidance for the rest of the year?
Gabriel Blasi: Hi, [Indiscernible]. On average is 10.5%. On mobile will be 10%. And we have some -- a very thin gap between 10% and 12% or 13% in any other service. But on average is 10.5%. So there's no change by segment. We have gone through a very flat increase for all prices and products, except the reduced product that by definition of ENACOM cannot be increase until October.
Unidentified Analyst: So, [Indiscernible]. The following question that is, was one question. This is for Gabriel That it says -- would OpEx down by around 5% year-over-year in real terms for an EBITDA margin of around 77.9% or more than 330 basis points higher year-over-year? So with OpEx down by around 5% year-on-year in real terms for an EBITDA margin at around 77.9% or more than 330 basis points higher year-over-year? But -- and then is it possible to breakdown -- is it possible to break down how much of the OpEx savings that related to present tariffs and commercial activity?
Gabriel Blasi: As I mentioned, just to give you some color in general terms. We think that these -- there is about half of the improvement is related to the pandemic effect to the quarantine and will be much difficult to keep. The other half is something that we think that we are doing our homework. We will try to keep on state.
Unidentified Analyst: And the following from [Indiscernible] also is, regarding salary increases. Do you expect to raise compensation and benefits from September? If so, how much?
Gabriel Blasi: I have already said. It’s -- with price increases.
Unidentified Analyst: Then the following question, it came from [Indiscernible]. It says, do you expect any other price increases for the rest of the year apart from September increase? Or do you also need to negotiate with ENACOM?
Gabriel Blasi: We will be monitoring inflation rates and our own inflation of our costs and OpEx. We will need to understand what's going on. If we see the inflation as is right now, we -- with these 10% we are keeping track of inflation. We are not going over inflation. But we're keeping track -- very close track of inflation, year to-date. Nobody knows when the quarantine will be finished. How will the business context start developing September on. So we need to understand where we are going and see and we will do the corrections that we need as long as we as we know them.
Unidentified Analyst: Another question from Augustine [ph]. That it was already mentioned in the presentation is how many subscribers currently have on inclusive from the public [ph] services? We mentioned that it was less than 2%?
Roberto Nobile: Less then 2%, yes.
Unidentified Analyst: In the case of Chelsea -- What is the CapEx guidance for the rest of the year? Something that Gabriel has made?
Roberto Nobile: Chelsea in total -- of course, it is in some extent might be out there on the margin because of the foreign exchange rate evolution, but assume something in the range of $600 million.
Gabriel Blasi: Yes, and it will depend on the ability to most of our CapEx is imported goods, so it will take time to bring goods into Argentina. So, once we have decided to move forward with the CapEx, it's not only money, it's only time and we can be around 600. But we could be a little short if we cannot bring things on, but will be a carryover for the next quarter of 2021.
Roberto Nobile: Yes, sorry that that's for a total year, 600 is for a total year.
Solange Barthe Dennin: So we have no further questions. So we relate just to thank you for participating in our teleconference call. And please do not hesitate in contacting our investor relations on the forum [ph] for any further inquiries you may have. Good morning to all and have a nice day.